Operator: Hello, everyone, and welcome to Xenia Hotels and Resorts third quarter 2024 earnings conference call. My name is Lydia, and I will be your operator today. After our prepared remarks, there will be an opportunity for you to ask some questions. If you would like to queue up, you can do so by pressing star followed by one on your telephone keypad. I will now hand you over to Aldo Martinez, Manager of Finance, to begin. Please go ahead.
Aldo Martinez: Thank you, Lydia. And welcome to Xenia Hotels and Resorts third quarter 2024 earnings call and webcast. I am here with Marcel Verbaas, our Chair and Chief Executive Officer, Barry Bloom, our President and Chief Operating Officer, and Atish Shah, our Executive Vice President and Chief Financial Officer. Marcel will begin with a discussion on our performance. Barry will follow with more details on operating trends and capital expenditure projects. And Atish will conclude today's remarks with commentary on our balance sheet and outlook. We will then open the call for Q&A. Before we get started, let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-Ks, and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued yesterday afternoon along with the comments on this call, are made only as of today, November 7, 2024. We undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures to net income and definitions of certain items referred to in our remarks in our third quarter earnings release, which is available on our Investor Relations section of our website. The property-level information we will be speaking about today is on a same-property basis for all thirty-one hotels, unless specified otherwise. An archive of this call will be available on our website for ninety days. I will now turn it over to Marcel to get started.
Marcel Verbaas: Thanks, Aldo. Good morning to everyone joining our call today. Before discussing our third quarter results, I would like to first acknowledge the extraordinary efforts of our project management team as we achieved an extremely important company milestone last week, with the rebranding of the former Hyatt Regency Scottsdale to the spectacular Grand Hyatt Scottsdale Resort. In addition to the pool complex and its food and beverage amenities that were completed earlier in the year, we have now also completed the renovation of the guest rooms, the existing meeting space, lobby, the Grand Vista Lobby bar, and the creation of a signature restaurant. These exciting new restaurants include Mesa Central, a southwestern-themed premium restaurant, Hikitaka, a global small plate concept including a sushi bar, and the resort's premier restaurant, La Zaza Zaza, an upscale modern Italian steak and seafood concept, all in collaboration with celebrity chef Richard Blaise. The resort officially was rebranded as Grand Hyatt Scottsdale Resort on November 1, and we are excited about the future of this outstanding property in one of the most appealing resort locations in the country. Now turning to our financial results for the third quarter of 2024, the company had a net loss of $7.1 million. Adjusted EBITDAre was $44.3 million, and adjusted FFO per share was $0.25. Results came in below our expectations for the quarter as a number of factors negatively impacted the portfolio during the quarter. Leisure demand continued to normalize, and although hurricanes Debbie, Francine, and Helene did not cause significant damage at any of our properties, they did negatively impact demand at most of our properties in the southeast in August and September. The combination of overall softer leisure demand and the hurricane impact at our hotels in the southeast were largely responsible for the RevPAR declines we experienced at our hotels in San Diego, Nashville, New Orleans, Key West, Navarre, Savannah, and Charleston. Additionally, renovation disruption during the quarter, specifically in Scottsdale, was greater than we previously projected. Same property RevPAR for our thirty-one hotel portfolio increased by 1.5% for the quarter, while RevPAR increased by 1.1% when excluding Scottsdale. Same property occupancy increased by 320 basis points, while ADR decreased by 3.3%. RevPAR growth was driven by continued strong results at our recently renovated Grand Bohemian Hotel Orlando, Canary Hotel Santa Barbara, and Hotel Monaco, Salt Lake City. Additionally, our three Houston hotels, our Atlanta properties, and our Ritz Carltons in Pentagon City and Denver outperformed the remainder of our portfolio in the third quarter. As we have discussed in prior earnings calls, we expect that Scottsdale performance to become a tailwind during the third quarter. And this partially materialized as our two resorts in the Phoenix Scottsdale market achieved a combined 11.1% RevPAR increase compared to the same period last year. This increase was lower than we previously projected since the impact of the Grand Hyatt renovation was greater than anticipated during the quarter. Having now completed the components that most negatively impacted the guest experience through the month of October, we expect to see significant year-over-year RevPAR gains in Scottsdale in the months ahead. On a same property basis, third quarter same property hotel EBITDA of $48.1 million was 6.3% below 2023 levels, and hotel EBITDA margin decreased 200 basis points. Excluding Scottsdale, third quarter hotel EBITDA decreased 3.4%, and hotel EBITDA margin decreased by 144 basis points. In a continuation of what our portfolio experienced in the second quarter, expense pressures, although they are moderating a bit, and the increase in occupancy coupled with the ADR decrease drove the margin decline for the third quarter in comparison to last year. Consistent with demand trends over the last few quarters, group and corporate transient demands remained relative bright spots during the quarter. Same property group room revenues, excluding Scottsdale, increased 3.8% as compared to the third quarter last year. And midweek corporate transient occupancy continued its positive momentum. Turning to our capital expenditure projects, we now project that we will spend between $130 million and $140 million on property improvements during the year, an increase of $5 million compared to our prior estimate. This is a result of the timing of payments as well as an increase in smaller projects executed at the property level we now expect to be completed by the end of this year. We continue to expect to spend $70 million to $75 million on the Scottsdale renovation in 2024. We still anticipate substantial completion of the project, including the ballroom and pre-function space expansion, by the end of this year. With just some exterior work, not expected to impact the guest experience, remaining to be completed in early 2025. Now that most of the major components of the transformative renovation have been completed, and the property has officially relaunched as Grand Hyatt Scottsdale Resort, the overall guest experience has been significantly enhanced. The construction of the new ballroom and pre-function space is progressing as planned, without negatively impacting the overall operations and feel of the resort. We are continuing to expect that the resort will be able to host groups in this outstanding new space in January. We experienced greater disruption during the third quarter than previously estimated as a result of the lobby and restaurants not being accessible to guests during the quarter. Additionally, the opening of the new signature restaurants and bars was delayed until November, which not only impacted food and beverage revenues but also the overall guest experience and the official launch under a new brand. As a result, we have increased our estimate of renovation on our adjusted EBITDAre in 2024 by $3 million. We are thrilled that we have completed the majority of the project at this time. And while the financial results will be ramping up over the next several quarters, this phenomenal upgraded resort is expected to be a significant driver of our company's earnings growth over the next few years. Turning to transaction activity, we have previously disclosed that we sold the Lorien Hotel and Spa in Alexandria, Virginia for a sale price of $30 million in early July. As a reminder, this price represented a very attractive 21.3 times multiple on the hotel EBITDA for the twelve months ended May 31, 2024. We are continuing to analyze potential additions to the portfolio as well as any dispositions that we believe will enhance our earnings growth profile in the years ahead. We are not anticipating any changes to the portfolio composition for the balance of this year. And as we look ahead to 2025, we will continue to patiently evaluate these opportunities in conjunction with our prudent balance sheet management and review of internal ROI opportunities. As we announced in our release yesterday, we have taken another significant step to further solidify our balance sheet and create additional flexibility for the company by upsizing and extending our corporate credit facility. While Atish will provide more detail during his remarks, I would like to take this opportunity to thank our lender group for their continued support of our company's long-term strategy. As we near the end of 2024, we have reduced our guidance for our full-year adjusted EBITDAre compared to our forecast after our second quarter results. This is reflective of both our actual third quarter results and a reduced outlook for the fourth quarter. Our fourth quarter outlook has moderated as a result of the impact of Hurricane Milton on our properties in Orlando in October, recent demand trends, and the approximate one-month delay in the relaunch of Grand Hyatt Scottsdale. Atish will provide additional detail on our updated guidance during his remarks. Despite the negative impacts on October results that I just mentioned, we estimate the same property RevPAR increased by approximately 4% in October as compared to the same period in 2023. When excluding Grand Hyatt Scottsdale Resort, we estimate that October RevPAR was up approximately 3.4% compared to last year. These RevPAR increases reflect an acceleration compared to results in the third quarter, albeit not to the level we previously projected. While uncertainty exists regarding the overall economic environment and lodging industry results in the short term, we continue to have an optimistic view regarding our portfolio performance in the years ahead. We are excited that the bulk of the transformative Scottsdale project is behind us and continue to expect to reap the benefits of this substantial project for years to come. Additionally, we believe that our high-quality portfolio is well-positioned to outperform in the years ahead, given its diversified locations, strong brand affiliations, and quality of its room products and amenities. I will now turn the call over to Barry to provide more details on our operating results.
Barry Bloom: Thank you, Marcel. Good morning, everyone. For the third quarter, our thirty-one same property portfolio RevPAR was $161.20 based on occupancy of 67% at an average daily rate of $240.72, an increase of 1.5% as compared to the third quarter in 2023. Excluding Grand Hyatt Scottsdale Resort, third quarter RevPAR was $168.48, an increase of 1.1% as compared to 2023, which reflected 2.9 points of occupancy gain and a decline of approximately 3.1% in average daily rate. As Marcel indicated in his remarks, the same property leaders in terms of RevPAR growth in the quarter included our hotels that underwent comprehensive renovations in 2023. Grand Bohemian, Orlando, up 85%, Monaco Salt Lake City up 33%, and Kimpton Canary Santa Barbara, which was completed earlier in 2023, up 10%. Grand Hyatt Scottsdale RevPAR was up 64% compared to the third quarter of last year, as we begin to lap the challenging renovation disruption we experienced over the last seventeen months. Several of our hotels, including those in Houston, Orlando, Key West, Savannah, Charleston, and New Orleans, were impacted by a number of hurricanes which occurred throughout the quarter. Including Hurricane Milton in October, we estimate that collectively EBITDA was impacted by approximately $2 million related to a combination of net loss revenues, increased operating expenses, and expenses related to cleanup and repair. We do not anticipate any insurance recovery from these storms. RevPAR grew significantly compared to the third quarter of last year at our three hotels in Houston, collectively up 18.48%, at several of our luxury hotels, including Ritz Carlton Denver, up 7.5%, Waldorf Astoria Buckhead up 6.8%, and Ritz Carlton Pentagon City up 5.2%. The growth in these markets is a result of clearly improving business transient and group demand we continue to see across the portfolio. Properties that experienced RevPAR weakness compared to the third quarter of 2023 included Lowe's New Orleans, Hyatt Regency Grand Cypress, and several of our smaller leisure-oriented properties in Savannah, Key West, and Annapolis. Looking at each month of the quarter and excluding Grand Hyatt Scottsdale Resort, the July RevPAR was $168.46, up 2.2% to July 2023. August RevPAR was $160.13, up 2.2% compared to August 2023, and September RevPAR was $177.11, down 0.9% compared to September 2023. We continue to be optimistic about the recovery in corporate demand as we continue to achieve higher mid-week occupancies across the portfolio, even during the traditionally softer third quarter, portfolio occupancies of approximately 75% were achieved mid-week, representing an increase of nearly five occupancy points compared to the third quarter of 2023. We note that compared to the third quarter of 2019, our portfolio excluding W Nashville, High Realty Portland, and Grand Hyatt Scottsdale, third quarter daily occupancy trailed 2019 by less than eight occupancy points midweek, sequential improvement compared to the second quarter. Friday and Saturday net occupancy trailed 2019 by less than five occupancy points. While this gap continues to be somewhat disappointing, our continually improving performance on our corporate transient and corporate group-driven hotels gives us confidence that we still have significant growth ahead as our hotels continue to close this gap. Group business continues to be a bright spot across the portfolio, the reversion of pre-pandemic patterns continues. For the third quarter, excluding Grand Hyatt Scottsdale Resort, Group Room revenues were up nearly 4% as compared to the third quarter of last year. This growth was split relatively evenly with room nights and average rate each up just under 2%. We see a continued trend in our mix of group business, with association group business now recovering at a stronger pace than corporate group business, more bookings for future years than the current year. Which Atish will highlight in his remarks. Now turning to expenses and profit. Third quarter same property hotel EBITDA was $48.1 million, a decrease of 6.3% on a total revenue increase of 2.9% compared to the third quarter of 2023, resulting in 200 basis points of margin decline. Excluding Grand Hyatt Scottsdale Resort, hotel EBITDA was $52.2 million, a decrease of 3.4% on a total revenue increase of 2.8% resulting in margin decline of 144 basis points. This decline in hotel EBITDA margin for the quarter was the result of several factors. Excluding Grand Hyatt Scottsdale Resort, rooms department costs increased nearly 6% over the third quarter of last year, primarily as a result of continued occupancy growth. However, this equated to just a 1.4% increase in expenses on a per occupied room basis, the sequential decline from last quarter as our hotels are continuing to adapt to a higher occupancy lower ADR operating environment. Food and beverage revenue grew by nearly 5% during the quarter, as banquet and AV revenues achieved double-digit increases while outlet revenues were generally flat. Food cost and wages each increased approximately 6% compared to last year, resulting in a 15 basis point cancellation and nutrition revenues declined 14% compared to last year, returning to more normalized levels, which also impacted margins. In the continuation of a positive trend, other operating departments including parking, spa, and golf revenues were up over 6%. In the undistributed departments, A&G expenses were well controlled, energy expenses declined, while sales and marketing and property operations expenses grew significantly as properties continue to restaff these areas to pre-COVID levels. Turning to CapEx, during the third quarter, we invested $46.9 million in portfolio improvements, bringing our year-to-date total to $116.2 million. As Marcel discussed, we have completed our most significant work on the transformative renovation and rebranding of the former Hyatt Regency Scottsdale Resort and Spa at Ginnie Ranch, which is now the Grand Hyatt Scottsdale Resort. We are on schedule to complete the construction of the ballroom expansion by the end of 2024 and several building facade infrastructure projects will be completed in early 2025. We continue to be incredibly excited about how the hotel will perform post-renovation. The initial response from both leisure and group guests has only affirmed our confidence in our expected outcome from the substantial investment. We are seeing future group business being booked at meaningfully higher rates than the hotel has achieved with the average daily rate for group bookings for 2025 up over 35% from 2019. And ahead of our internal pro forma. We are particularly excited about group revenues for the second to fourth quarters of next year, but group revenues already exceed 2019 levels and as production for 2025 continues to increase significantly each month. Much of this is the direct result of the expansion of the larger Arizona ballroom, which will allow the hotel to retain existing group customers as well as attract new group customers who otherwise could not be accommodated at the resort and the spectacular guest experiences being created throughout the resort that guests are now able to see and experience. Initial response and feedback from the luxury travel agent community, a key component of the hotel's refined business plan, has also been very strong as this channel views the property as a completely new addition to the Scottsdale market they are excited to introduce to their clients. The property is hosting numerous familiarization trips for these critical booking agents, and, again, the response to the virtually new facility and amenities has been tremendous. Renovations are now completed at two of our tech hotels where we performed work during the seasonally slow summer months, including renovation of the lobby and restaurant, relocation of the fitness facility, addition of concierge lounge, and upgrading the heavenly beds at the Westin Oaks Houston. And the renovation of the lobby and upgrading the heavenly beds at the Westin Galleria Houston. We are now underway for a comprehensive renovation of the lobby and restaurant and creation of an M Club at Marriott Woodlands Waterway early next year. In addition, we continue to make select upgrades to the guest rooms at several of our largest assets, including Hyatt Regency Santa Clara, Marriott SFO, Renaissance Waverly in Atlanta. These projects are being phased around occupancy in order to minimize disruption. We are also continuing with $20 million of infrastructure and sustainability projects this year, including significant HVAC upgrades at Andaz San Diego, Fairmont Dallas, Marriott SFO, Hyatt Regency Santa Clara, Renaissance Waverly, and the Ritz Carlton Denver. We are incredibly excited to be nearing the completion of the Grand Hyatt Scottsdale Resort renovation, as well as all the other work that has been accomplished this year. And our confidence each will contribute to future growth in the portfolio. With that, I will turn the call over to Atish.
Atish Shah: Thanks, Barry. I will provide an update on our balance sheet and discuss our guidance. As to our balance sheet earlier this week, we extended and upsized our corporate credit facility thereby increasing our flexibility and resources. More specifically, we extended the maturity date on our facility to November 2028. And we upsized our facility by over 20%. Capacity on our revolving line of credit increased from $450 million back to $500 million. Our revolver continues to be fully available. As to our bank term loan, the capacity increased to $325 million with the current outstanding balance at $225 million. The pricing on our facility is unchanged. The terms improved slightly. All of our existing banks supported the transaction, and we added one new bank to the syndicate. Overall, we are pleased with the outcome of this facility recast and grateful to our bank group for their support. Now turning to our 2024 guidance. We have adjusted our full-year outlook downward to reflect a variety of factors, over both the third and fourth quarters. As to adjusted EBITDAre, we have lowered the midpoint by $11 million to $238 million. The breakout of this change is as follows. We estimate the impact from hurricanes is about $2 million. We estimate the impact of renovation-related revenue displacement at Scottsdale is about $3 million. And we estimate the remainder is attributed to several factors including a slower fourth quarter ramp at Grand Hyatt Scottsdale, softer leisure demand across the portfolio, and continued pressure on margins due to expense growth and the mix of occupancy versus ADR. As to the $11 million variance by quarter, about $5 million relates to the third quarter and $6 million relates to the fourth quarter. From a RevPAR perspective, we have lowered our expectation for RevPAR growth by 125 basis points to 1.75% at the midpoint. Excluding Grand Hyatt Scottsdale, we have lowered our expectations for RevPAR growth by 50 basis points to 3.25% at the midpoint. As to our adjusted FFO per diluted share guidance, we have reduced it by $0.10. We now expect FFO per share of $1.58. The other elements of our guidance shifted slightly since we last reported. Our full-year capital expenditure guidance has increased by $5 million at the midpoint. Cash, G&A expense has declined by $1 million to $23 million. Shifting ahead to current trends and initial thoughts for 2025, as we look ahead to November and December, our group revenue pace is up over 10% and our transient revenue pace is up over 6%. We still expect a significant lift from Grand Hyatt Scottsdale. As the property was a big headwind to overall RevPAR in November and December of last year. We estimate that the impact was about 475 basis points to overall RevPAR in November and December of last year. As we look farther ahead, group business for 2025 continues to look quite strong. The group revenue pace info that we are providing is as of the third quarter. As is typical this far in advance, about half of our expected 2025 group revenue is currently on the books. Group revenue pace is up nearly 20%. Excluding Grand Hyatt Scottsdale, group revenue pace has been up in the mid-teens percentage range. Before I wrap up, I will add that we continue to be well-positioned for opportunities to evolve the portfolio in the years ahead. The early indicators on Scottsdale are positive, and we expect the resort to deliver on our stabilized target in the low $40 million hotel EBITDA range over time. We continue to feel good about the new supply picture and based on our operators' assessment, a continued recovery in demand, particularly from larger corporate clients, group customers, and international inbound travelers. And with that, we will turn the call back over to Lydia to begin our Q&A session.
Operator: Thank you, Atish. Please press star followed by the number one if you would like to ask a question and ensure your device is unmuted locally when it is your turn to speak. In the interest of time, we kindly ask that you limit yourself to one question. Our first question comes from Dori Kesten with Wells Fargo. Your line is open. Please go ahead.
Dori Kesten: Thanks. Good morning. We appreciate the details on group pace. For, I guess, for Scottsdale and for the remainder of the portfolio. Are you able to provide a little bit more, I guess, guidelines on how the hotel may ramp over the next few years? I just rate-wise, it looks like you are drafting your peers for the first two months for that spread lessens pretty considerably by mid-2025.
Marcel Verbaas: I am sorry. Can you just repeat that last part, Dori? I did not quite get what you were saying as far as going into 2025.
Dori Kesten: Sure. I was just asking if you can provide a little bit more detail on the pace of how you get below the $40 million EBITDA range and I was just noticing, it looks like your rates kinda coming out of the gate for drafting your immediate peers, but they lessen pretty considerably by the time you get to mid-2025.
Marcel Verbaas: Yeah. So okay. Thanks. I appreciate that, Dori, for clarification. So you know, Barry pointed out in his remarks that as we get a little deeper into next year, we are pretty optimistic about what we are seeing so far given that when you look at the combination of Q2 through Q4, that we are already kinda at the group revenue pace that we were in 2019 for 2020. So you think about it is gonna take a few years, obviously, to stabilize here. So to, you know, kind of answer your question on that, it is gonna take a few years to kinda get to that low $40 million range. It is highly encouraging to us that we are seeing already from Q2 through Q4 this number that really equates to what we are seeing in 2019 or 2020. Now part of that is, and Barry pointed out that what is really encouraging is that the rates are significantly higher than where we were obviously in 2019. A part of that is you could say, is general inflation, but we are definitely seeing an ability to book at higher rates. And we always expected that it was gonna take a little bit of time for the meeting planners to actually see the finished product and be able to really get a feel for what the resort is like and start building some momentum there. So I think what you were referring to is some of the rates that you are seeing kind of, you know, for the resort as the year goes along. And clearly, we always expected that coming out of the gate, it would obviously be a little bit slower ramp up in the first quarter or two, and then really kinda getting some traction as we get deeper into the year.
Operator: Okay. Thank you. Our next question comes from David Katz with Jefferies. Please go ahead.
Operator: Hi, David. Your line is open. Unfortunately, we are not getting any audio. So we will move to our next question, which is Michael Bellisario with Baird. Please go ahead.
Michael Bellisario: Thanks. Good morning, everyone. Good morning. I have two questions. I will ask them together. First one's just sort of a follow-up on Scottsdale, the $3 million EBITDA impact, does that mean the entire ramp up as you look out is maybe $3 million behind and that 2025 would be $3 million less than what you would have thought it maybe would have done a quarter ago and maybe just help us frame the ramp up expectations there today versus last quarter. Just thinking about 2025. And then for Barry, just on the expenses, thanks for walking through all the line items. Just any geographies that you would point out that are maybe affecting the expense pressures that you referenced and if I understood everything correctly. Like, the expense pressures, it is really just rate and occupancy mix. Right? It is less about the absolute level of like-for-like expense growth. Thanks.
Marcel Verbaas: Yeah. Thanks, Mike. I will take the first part and Atish, feel free to jump in there as well. And then Barry will answer the second part of your question. Despite what Lydia said, we are more than happy to take two questions from you on this, Mike. So you know, the first part, Eric, we pointed out there was a delay of about a month and, the completion of some of the components particularly as it related to the restaurants and bar which clearly the $3 million additional disruption we are talking about is really kinda spread through both the first quarter when we saw more disruption than we have previously projected because of the fact that so much of the resort was inaccessible to guests. And just created more disruption than we had previously anticipated. And then the additional parts of the $3 million is really because of what happened in October and the fact that we were not ready to go fully at the beginning of the quarter. As opposed to getting into November after having completed these facilities that they are kind of opening here, you know, through November. So that caused the additional $3 million of disruption. Now what that also did cause, obviously, is that since we were kinda ready to hit the ground running a little bit later than anticipated is that we are clearly ramping up a little bit slower in the fourth quarter. We previously thought we would because we thought we were gonna be able to again, have these facilities open in October, which is clearly a strong month generally in the Phoenix Scottsdale markets. So that ramp up is gonna be a little bit slower as we get through the rest of the year. Now to kind of equate that to 2025, that is difficult to say. Frankly, because I do not think the situation for 2025 has changed really from what we previously because we still anticipate that the meeting space is gonna be available at the end of the year. So in January, we will be able to start accommodating the groups in that space. Clearly, all the facilities are open. As you know, you know, leisure demand does not necessarily book out too far ahead. So I think we are in a good position to still deliver in 2025 what we otherwise would have delivered. So I do not see that really bleeding into the 2025 expectations. That is just a normal ramp up that I talked about earlier at the to Dori's question. So you want to add anything, Atish, or Barry can answer the second part of your question, Mike.
Barry Bloom: Yep. Mike, I think what you surmise is what we are and are not seeing, which is that we are not seeing particular pockets of abnormal expense growth across the portfolio. It has been fairly even. In terms of geography. The properties that are performing best and that are where we are actually growing margin are the properties where we are experiencing both occupancy and rate growth. Which is not terribly surprising. So we are able to cover the increases in costs that we are seeing through the P&L and where we are seeing the largest occupancy increases in connection with rate declines is where we are seeing the most margin erosion. So some of that also skews in our portfolio a little bit to the smaller hotels. As I mentioned, one of the two of the key challenges right now are where we are bringing back or our managers are bringing back fixed staffing in both sales and marketing and property operations and maintenance. And that obviously impacts smaller hotels more than impacts bigger hotels in terms of how margin is ultimately performing.
Michael Bellisario: Helpful. Thank you.
Operator: Our next question comes from Ari Klein with BMO Capital Markets. Please go ahead.
Ari Klein: Thanks and good morning. And maybe just following up on Scottsdale. What is the EBITDA contribution this year? And in 2019, the hotel did $23 million. And in 2022, it did $30 million. And I appreciate that it is gonna take a while to get this stabilized number. But are those or either of those realistic kind of goal posts for 2025?
Marcel Verbaas: Yeah. We have obviously outlined what we believe is a disruption for this year. So it is reasonable to assume that we get that back as we get into next year. As you recall, you know, when we were getting close to the $30 million number before in 2022, you know, a lot of that was also driven by some really frothy leisure demand that was in the market, and there is no question that overall, there has been a little bit of softening clearly with leisure throughout the country, but also impacting a market like Phoenix Scottsdale. So we do expect that we are gonna get that disruption back next year. You know, answer your the first part of your question, it is not contributing a whole lot of EBITDA this year because obviously, you have seen what the disruption numbers are that we have put out. So do expect to get that disruption back. Hopefully, you know, some growth there. We talked about the fact that you know, what we can point to is clearly the group base, and things are going there. And we feel very confident about the direction that is heading for next year. So it gives us some confidence that we are starting to see, you know, some growth over that disruption number. And then you know, it will take a year or two from there to kinda get to that stabilized number going forward. What Barry also pointed out is that now that the project is essentially done and the meeting planner seeing this, they are obviously getting very excited about that. So the number of leads that the property is getting not just for 2025, but really going into 2026 and 2027, is highly encouraging. So we still feel as confident, if not more confident, today than when we started this project, then we will get to the stabilized numbers.
Ari Klein: Thanks for that. And then just on the expenses, I guess, what would be helpful is just what caught you by surprise? Was this occupancy ADR shift, I guess, unexpected from your point of view, and are those trends expected to continue, I guess, moving forward?
Barry Bloom: Yeah. Ari, I think as we came into the quarter, and that really across the board, our operators had a much more balanced view of occupancy and rate that we would see during the quarter. And I think as the quarter progressed and as we moved through the summer months, the properties were not seeing a lot of occupancy growth at the rates they were initially offering and did a lot of rate strategizing. In conjunction with conversations with our asset management team that really shifted that as a strategy to be able to drive as much revenue as possible and to drive as much ancillary revenue as possible. Right. Pushing to more of an occupancy forward strategy by lowering rate. Obviously, we look at that in hindsight as well. And think that was certainly the best strategy through Q3. We think that has improved a little bit, in October and November, December is always a question mark because of the lack of corporate business. But we are seeing a little bit better balancing between occupancy and rate as we move through Q4.
Marcel Verbaas: And one thing I will add to there too is that where you are seeing some of those rate declines, it has been in some of those assets where rates have been very high. Primarily driven by that strong leisure demand that we have seen before. So the other part you are seeing obviously, we are rolling up portfolio numbers. So you think about we are gaining occupancy in some assets where the rate might be a little bit lower. And, we are losing some rate in assets that were really driving those high leisure rates. When you all kinda roll that up together, that is part of it too. And even when you think about, you know, the impact of these hurricanes, for example, you know, it impacted a lot of our high-rated leisure assets that clearly, you know, were not delivering as much to the portfolio as they normally would. So some of that is obviously captured in how we are looking at this hurricane impact on the portfolio. But just that overall shift a little bit into some of the more occupancy and lower-rated hotels and some rate declines in some of these higher-rated leisure assets. Kinda contributes to the overall picture too.
Ari Klein: Helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Austin Wurschmidt with KeyBank Capital. Please go ahead.
Austin Wurschmidt: Great. Thanks, and good morning, everybody. Sticking to the leisure theme overall and the softness that you referenced, what are kind of the early thoughts for remaining rate normalization within that segment? I think it is, you know, 25-30% of the portfolio. And then, you know, as I think you highlighted, maybe contributing to some of this margin weakness you cited. Just some early thoughts on how that trend you think goes from here heading into 2025. Thank you.
Marcel Verbaas: Oh, thanks, Austin. No. I think it is early to say that, obviously, because, you know, as you know, that is again, that is been trending booking window is obviously far shorter than what we are seeing on the group side. We think that having the setup that we have with having a pretty strong group base into next year, it is gonna help overall with revenue management going forward. So I think we are optimistic as far as where that stabilization goes and how we can grow from there. You know, clearly, if you look at market performance, yes, yesterday, there is some optimism about economic growth. There hopefully will be a little bit more balance next year between international outbound versus international inbound than we have talked about this before. I mean, it is not a big component necessarily, of our overall portfolio, but it certainly will help to the extent there is a little bit more balance there. So I think it is early to really have a good sense for how that is gonna play out in 2025, but I think that as we are sitting here today, I think that we are reasonably optimistic about where that is gonna go next year.
Operator: Thank you. Our next question comes from Ari Klein with BMO Capital Markets. Your line is open. Our next question comes from Tyler Batory with Oppenheimer. Please go ahead.
Tyler Batory: Yeah. Thanks. Good morning, everyone. So just thinking a little bit more about portfolio opportunities to evolve the portfolio in the years ahead. You know, from a strategic perspective, you got a little bit more liquidity here with the expanded credit facility. Just how are you thinking about the opportunity for potential acquisitions? I know a lot of moving pieces in the portfolio this year. Maybe you just did the asset sale in July, I guess. So how are you thinking about capital recycling and potential opportunities to look at acquisitions here?
Marcel Verbaas: Yeah. That obviously has not really changed from what we have talked about the last few quarters. Right? I mean, we have not seen a great number of opportunities that get us overly excited, but we think that that is gonna change over the next few years. And we certainly would expect to kinda get back to what we have historically done, which is growing the portfolio and growing it with assets that we believe are gonna give us greater growth than what the current portfolio looks like. So to the extent that those opportunities are out there, we want to be in a position to take advantage of that. Clearly, on the disposition side, what you have largely seen us do in the past is essentially dispose of assets where there may be some CapEx needs, there may be some other elements that make us believe that the ROI on those on that CapEx and the future growth potential is not quite there. So continue to evaluate the portfolio in that light. So it certainly is our goal to continue to upgrade the portfolio over time, upgrade the earnings growth potential of the portfolio. We think that there will be some more opportunities over the next few years. So just having more flexibility and having the great balance sheet and the strength of balance sheet that we have is gonna be beneficial to that. Now as part of that, as we have also talked about before, clearly, the fact that we expect earnings growth is also gonna put our leverage ratios into place where we think we can be a little bit more opportunistic than we have been able to be over the last couple of years. So really the view that we have, and we are gonna continue to balance that with like I said in my remarks, which whether there are internal ROI opportunities that we have a strong belief in, clearly, you know, it is looking at where we are trading from a stock price perspective and do we think that there is an opportunity to buy back shares that will create greater value than necessarily being out there and buying assets? So continue to balance all those aspects, and certainly would expect that over time, we will continue to go on the path that we really have been on over the last ten years, if you will.
Tyler Batory: Okay. Great. Thank you.
Operator: As a final reminder, if you would like to ask a question today, it is star followed by one. We have no further questions. So I would like to turn the call back to Marcel Verbaas for any closing comments.
Marcel Verbaas: Thanks, Lydia. Thanks, everyone, for joining us today. I know it is a very busy earnings season, busy week overall. Appreciate you joining us. Appreciate the questions today, and we look forward to seeing all or many of you over the next few weeks, particularly at the NAREIT offerings. Thanks again, and we will see you there, or we will speak over the next few months.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your line.